Operator: Ladies and gentlemen, welcome to the Full Year 2020 Financial Results Conference of Groupe Renault. I now hand over to Mr. Thierry Huon. Sir, please go ahead.
Thierry Huon: Good morning, everyone. Welcome to Renault's Full Year Results Conference Call, which is broadcast live and in replay versions on our website. The presentation, file press release and activity pack for this call are all available on our website in the Finance section. I would like to point out the disclaimer on Slide 2 of this pack regarding the information contained within this document, and in particular about forward-looking statements, and invite all participants to read this. Today's call is scheduled to last about one hour and a half. The presentation will start with opening remarks from our CEO, Luca de Meo; then Clotilde Delbos, our Deputy CEO and CFO, will take you through our fiscal year and H2 performance. Then the team, including Denis Le Vot, EVP, CEO of Dacia & Lada Brands; Gilles Le Borgne, EVP Engineering; and Thierry Pieton, SVP Deputy CFO will be available for answering your questions. Without further ado, I will hand over to Luca.
Luca de Meo: So, good morning everybody. After a first semester 2020, as you know, was very strongly impacted by the COVID lockdown at Renault, I think the message today is that we have managed our way through and recovered better levels of performance in H2 2020. In fact, our operating margin reached 3.5%. And the good news also is that we brought back the auto business into the black. In fact, the 3.5% performance is comparable to the one we had in the second semester of 2019 when the conditions were normal. So I think it's a good news. The reason for that is that we reaped the fruits of all the plans that were put together. So the one we implemented in the first half of the year and the one that we amplified in the second one, you will see. Very important impact from the fixed cost reduction plan. I already mentioned that during the Renaulution announcement a month ago, we are clearly ahead of our commitment to achieve the €2 billion fixed cost reduction that was planned for in three years. But in fact, we think that we will be able to achieve the €2 billion, maybe by the end of this year or the beginning of 2022. So in numbers, it means that in 2020, we were able to reduce the fixed cost by €1.2 billion, net of the COVID impact. So that means we are growing twice as fast as we were planning at the beginning. And when you look at a little bit more into detail, in fact, engineering has been the strongest contributor to the savings. And engineering, has already achieved two-third -- in one year, two-third of its three year target and this is good news because, as you know, in engineering, it's always the most complicated part. We have also made a lot of efforts on revenue management and improved our pricing policy. This has always been a topic of concern from the financial markets. But I think we proved in Q3 and in Q4 that we have changed the chip in this house, so we respectively managed to cash back 5.5 points in Q3 and 6.2 points in Q4 in net pricing. So I think it's a pretty remarkable performance that shows that we have changed the way we play the game. This performance has been achieved in certainly improving context in H2, but still adverse, I would say. In fact, even now in our domestic markets, France we had a lockdown in November and even the dealers were closed. So it was not a completely normal environment, but we took every opportunity we have to generate profit and cash and benefit from the demand recovery from September, October and also December. Another good sign is that, of discipline and healthy approach to the business, was the balance between the demand, you know and the -- from the customer and the production volumes. So when you look at the balance between production volume and order bank, you will see some good signs of recovery, because we actually increased our order bank compared to the previous year by 14%, but the stock level went down by 20% compared to December 2019. We managed our channel mix and we focus on profitability other than volumes and market shares. If you look a little bit into the details, you will see that Renault has gained in the retail channel market share, which is, as you know, is the most profitable one. And you have example like -- I'll take Brazil as a kind of a symbol for that where we brought down our market share by 2 points. We see margin coming back. We reduce fixed cost by 20%. We had to eliminate one shift. So we did the job and changed the approach and we are seeing on profitability the result of that. I would also like to mention the resilience of two areas of the operation, one is FCA [ph] and also the other one is the AVTOVAZ contribution in H2. And finally, thanks to the, I would say, the continuing success of the ZOE, most sold electric car in Europe. And the very, very good performance of the E-TECH products of hybrid and plug-in hybrid, this represent more than one car -- already one car out of five for Renault. After -- three months after the launch, we have achieved our CAFE targets, I would say, relatively comfortably. Of course, the official measurement will come later in this year, but we think that we've made it. So in a nutshell, the resurrection phase has started beyond reducing fixed cost and improving our pricing policy. Indeed, we also focused on brand development. We protected our investment on the future lineup, which, as you know, would be tech-infused electrified, strongly electrified and shifting into the most profitable segment of the market namely the C segment. We also started our battle to reduce our variable cost. We have been spending a lot of time with suppliers to negotiate some kind of a new deal with them, which is bringing some -- really some good results. We changed our all organization, including our approach to common project with the Alliance, and you will see that more is to come in the next weeks. In short, if I may say, to conclude my introduction notes, our results for the second semester shows my opinion, the capacity of this organization to perform in, I would say, relative when the conditions are there from an environment point of view. However we are completely aware of the fact that we still have a lot to do to recover a sustainable financial performance. I leave it now to Clotilde for the numbers, and I'll come back in a few minutes.
Clotilde Delbos: Thank you, Luca, and good morning, everyone. Before starting the usual analysis, I would like to highlight the key elements of this exercise and more precisely of the second semester. After a catastrophic H1 linked to the COVID lockdown, we have experienced a solid recovery in H2 as the Group operating margin reached 3.5%. Of course, we've been helped by some recovery in demand after the collapse of H1. But it is also the fruits of our fixed cost reduction plan. I would like to add that part of the impact of these reductions is not yet fully visible in the operating margin as lower capitalization ratio and higher depreciation have weighted [ph] for 1.1 points on this indicator. It is also worth giving a look at the EBITDA variance in the second half of 2020 versus H2 2019. Despite a decrease in revenue of €2.4 billion, the EBITDA was up by €130 million. We have booked significant charges for restructuring and impairment showing that we are not at the end of the process and still working on our cost structure to few lasting profitability improvement. Regarding the auto operational free cash flow performance, it has not been as good as we would like, though positive in H2. This is explained by two things. First, the absence of RCI dividend payment in 2020, despite its good performance. As you probably know, European Central Bank recommended banks not to pay dividend in 2020 when we were planning at a 100 -- at a €500 million payment and to limit dividend payment up till September 2021. We intend to make up for the cancellation with the plan to reach a total dividend payment of €1 billion as soon as possible. Then the working capital development also penalized the free cash flow as part of the cash consumed in H1 has not been recovered in the second one. This is partly related to the fixed cost reduction payables, which have decreased at the same rate as the expenses and by lower recourse to factoring. Our net debt increased significantly compared to last year, but we are at ease in terms of liquidity position, which stands at €16.4 billion at the end of the year. I will briefly present our commercial performance during the year. As a result of our new organization by brands, it will be the last time I present our sales by region. The worldwide market decreased 14.4% with all region, except Eurasia, showing a negative development especially in Europe and in Americas. In this tough context Groupe Renault saw its volumes falling by 21.3% in the year to nearly 3 million vehicles, after a minus 35% in H1, the drop was still negative in H2 at minus 6.8%. In Europe, our registrations declined by 25.7% with a fall of 42% in H1 and 6.1% in H2. The market was down 23.5% for the year. During the second half, we benefited from the launch of our first hybrid vehicles with Clio HEV and Captur PHEV, which have encountered a strong success. ZOE has continued to lead the BEV segment and remain the EV best seller in Europe. Thanks to the success of our electrified lineup, the Group has met its CAFE objectives. The good surprise of the year came from Eurasia, driven by Russia and Turkey, our sales in the region were almost flat for the year and up 11% in H2. Sales in Africa, Middle East, India and Pacific, went down 23% at the end of the year and 16% in H2. Despite some success in India, we have been penalized by the situation in Algeria where we had to stop our business due to the economic and political situation. In Americas, we lost market share in Brazil where we have favored the quality of our business. Our sales declined 29% for the year and 33% in H2. I will now turn to the financial review. We have -- we show here the revenue contribution by activity. I remind you that we have created a new line of reporting for our mobility business at the beginning of the year, named Mobility Services. Group revenues for the year declined 21.7%. Automotive, excluding AVTOVAZ contributed for almost €38 billion, meaning a decrease of 23%. This implied a 9% decrease in H2 after minus 37% in H1. AVTOVAZ contributed for €2.6 billion, a decrease of 17.5%, partly explained by the weakness of the ruble, which has declined to 12.5% year-over-year. Revenues from RCI Banque were down 7.8% at €3.1 billion and Mobility Services contribution amounted for €19 million for the year. I will now review the breakdown of revenues for the automotive activities, excluding AVTOVAZ. The first item, foreign exchange was a negative minus 2.8 points. It was the sole driver, which has been much more negative in H2 compared to H1. This reflect the continuing weakness of the Argentinian peso, Turkish lira, Brazilian real and to a lesser extent, the Russian ruble. The next item volume impacted negatively for minus 19.2 points. For the second half, the impact stood at minus 8.6 points. This decline was mostly coming from the fall of the market, and to a lesser extent, from market share losses that can be linked to our strategic shift from volume to value. In addition, we have had the negative impact of the inventories variance. The product mix effect yielded a positive impact of plus 1.1 points, especially in H2 with plus 1.9 points, largely thanks to the ZOE sales increase. The price effect was positive by 3.9 points, showing a solid 5.9 points impact in H2. Of course, part of the increase came from the action taken for covering the currency impact, but I hope that you will see in these, a proof that we are serious when we speak of pricing discipline and of our willingness to price the enrichment of our cars. Sales to partners impacted negatively for minus 5.1 points. This means that the decline in H2 has eased as we have had some recovery of demand compared to H1. And the last item, named other, amounted negatively for minus 1 point. The main negative driver has been a week after sales business recorded in H1 during the COVID period. I will now turn from automotive revenues to Group operating margin by operating sector. The Automotive segment, excluding AVTOVAZ posted a negative operating margin of minus €1,450 million. For H2 alone, the operating profit was positive at €198 million. AVTOVAZ in the context of supportive measures for the auto industry from the Russian State achieved an operating profit of €141 million. The Mobility Services segment posted a negative contribution of minus €35 million. And our financing activity delivered a €1 billion profit contribution to the Group margin versus €1.2 billion last year. I want to comment more in detail later in the presentation. On the next slide, you provide -- we provide you more detail on the Group operating margin variance. The Group's operating result for the year was negative by minus €337 million. The positive of €866 million recorded in the second half has reduced the loss booked in the first part of the year. Let's start with the Monozukuri. The Monozukuri bucket showed a positive impact of €36 million, thanks to the positive €76 million booked in the second semester. We have decided to change the presentation to split the cash impact and the non-cash one coming from depreciation and from capitalization ratio variance. The performance came from purchasing savings totaling €277 million. This relatively weak performance was the consequence of the low volume of business, but also of compensations given to suppliers for lower than expected volumes are for currency devaluation for those based in high inflation countries, but having €o sourcing. Warranty cost change was a positive of €19 million. R&D impacted positively for €256 million before taking into account the impact of lower capitalization ratio and higher depreciation. This is the result of the improvement plan presented in May. Manufacturing and logistics costs before depreciation impacted for minus €37 million in the year. Depreciation and capitalization variance weighted for minus €479 million in the year. This impact represents 1.3 points of the auto revenues. It was mainly explained by the €276 million R&D depreciation increase and €99 million lower R&D capitalization ratio. Before continuing the P&L analysis, let me give you an update on our 2022 plan. I told you when presenting this plan that we should have at least 30% of the €2 billion savings materialized in 2020. We have done much better and achieved €1.2 billion savings, net of the COVID impact on our cost. This is twice as much what we were planning. Engineering has been the strongest contributor to these savings and has already achieved more than two-third of its three-year target. This is the evidence of our agility and re-activity. It is worth noting that these savings are not at the expense of our future, but are coming from better discipline and efficiency. As already mentioned, the full impact of those savings are not yet visible in the operating margin because of higher depreciation and lower capitalization ratio, but these negative effects will progressively disappear. As said during the Renaulution presentation, we believe now that we would be able to achieve the €2 billion saving at the beginning of 2022 latest, rather than at the end of the year and we are shooting now for €2.5 billion by 2023. In terms of cost associated, we have spent about €340 million in the year and this is in line with the 30% of the €1.2 billion we mentioned when presenting the plan. Let's go back to the walk down. G&A brought a €172 million of savings, thanks to the effort put on the spendings but also by some decrease related to the confinements. Raw material was €131 million headwind reflecting higher prices for some materials mostly precious metal. Mix/price enrichment was positive €172 million. This results mostly from our actions on pricing, especially in H2, which showed a positive impact of €375 million. Volume and partners impact was a negative of €2.6 billion in the year, H2 showed a significant improvement compared to H1, but remained negative by €0.5 billion. RCI Banque, combined with the other businesses outside of the new business, new car business yielded a negative impact of minus €223 million, mostly explained by RCI and after sales. Currency impact was negative €455 million. It comes mostly from the pesos, the real and the ruble, but it takes into account the benefit of the Turkish lira on the cost side. And AVTOVAZ contribution declined by €14 million. Despite a difficult environment RCI has proven the resilience of its business model and posted an operating profit at €1 billion versus €1.2 billion in 2019. It generated €17.8 billion of new financing, down 16.8% in the year, but only minus 3.6% in the second half. RCI hit a new record for penetration rate at 45.3% versus 44.2% [ph] a year ago. Average performing assets were almost flat at €46.9 billion. This result from a slight increase in the loans to customers mitigating a decrease in the dealers financing owing to lower level of inventories. The net banking income stood at 4.17%, down 14 basis points. This decrease came partly from a lower weight of our activity in Latin America and to lower interest revenues linked to moratoria loss during the health crisis. I would like to mention that our online deposit activity, which has been expanded to Spain this year crossed last year the €20 billion threshold. The cost of risk increased year-over-year with the crisis, but improved in H2 versus H1. It stood at 17 basis points of the average performing assets for the year versus 99 basis points at the end of H1 and 42 basis points a year ago. The pandemic impacted two ways. On the one hand, primarily through forward looking impact provision. On the other hand, because of provision on remaining deferred loan and specific corporate exposures. Operating costs were contained and stayed at the same level of last year, and I will now cover the operating -- now that I have covered the operating margin, I will continue down the P&L, with the other operating income and expenses. They amounted to minus €1.7 billion versus minus €0.6 billion a year ago and €0.8 billion at the end of June. Several items explain this strong increase. The restructuring costs and provisions stood at minus €600 million for the year. It comes largely from the 2022 plan notably in France, which social aspects were negotiated and hence booked in H2. While lower than in H1, impairments remain at a high level in H2 with minus €317 million booked yielding to minus €762 million for the full year. This is mainly due to revised assumption and decision to not continue some programs in the framework of Renaulution strategic plan. Capital gain was positive in H2, thanks to some asset disposal and the remainder was explained by supplier's compensation for projects discontinuations, the stoppage of our production in Algeria and other smaller items. Continuing down the P&L, the next item is net financial income and expenses. The net charge increased from minus €442 million to minus €482 million. This increase is coming from higher average debt across the year, several non-cash IFRS restatement and a €38 million dividend decreased from Daimler. The next slide shows the impact of associated companies in Renault's P&L. We have already published the Nissan's contribution for the last calendar quarter in Renault's account. Therefore, the full-year contribution came to almost minus €5 billion after the H1 impact of minus €4.8 billion. Contribution from other associates was negative at minus €175 million compared to minus €432 million a year ago when we had booked negative results for our Chinese JVs. I will turn back to the P&L. The net tax charge for the year came to minus €420 million versus minus €1,454 million for 2019, which included a non-cash charge of €753 million due to the discontinuation of the recognition of deferred tax assets on tax losses in France. Bottom line, net profit after tax came in at minus €8 billion with H2 at minus €0.7 billion. Now that I have completed the analysis of the P&L, I will turn to Slide 20 on the evolution of net automotive financial position. Cash flow from operation, excluding AVTOVAZ and restructuring expenses amounted to €1.85 billion, fully attributable to H2 performance versus €4.1 billion a year ago, reflecting the decrease in the operating performance and the absence of RCI dividend. Changes in the working capital requirement had a negative impact of minus €1.5 billion versus a positive of €1.8 billion a year ago. For the sole H2, the working capital was a positive of €2.3 billion, but obviously not enough to reverse the €3.8 billion negative impact booked in H1. One reason for this is the result of our strong cut in general expenses, which usually offers relatively long payment terms and the reduction of factoring use in order to optimize our financial costs. Net tangible and intangible investment came to €4.7 billion down almost €1.2 billion from last year as we have continued our effort to curb our CapEx and R&D spending. CapEx has been reduced by €400 million and R&D by almost €600 million. Leased vehicle impact was down nearly €200 million. Restructuring costs led to a cash out of €339 million versus a €135 million in H1. And free cash flow from AVTOVAZ before restructuring accounted positively for €133 million, but coming from a large part from an accounting change of reverse factoring following an IFRIC decision in H2. As a result, the operating free cash flow was a negative of €4.6 billion for the year, but positive €1.8 billion in H2. Dividend flow was neutral and financial investment activities in H2 was limited amounting to €87 million. For the year, it's amounting to €355 million. Forex, IFRS and others impacted negatively for €407 million for the year and €325 million in H2. These came from accounting restatement and a security deposit in Spain for tax litigation. In total, our net automotive financial position decreased by €5.3 billion compared to the end of last year, and as a result, the Group's automotive net financial position turned negative at €3.6 billion versus a positive €1.7 billion cash position at the end of 2019. However, auto liquidity remain at a high level and stood at €16.4 billion at the end of the year compared to €15.8 billion a year ago. Of course, this amount takes into account the €4 billion loan benefiting from the French State guarantee. RCI liquidity reserves are also at a high level at €16.6 billion, reflecting a lower activity and the absence of dividend payment. Slide 22 shows the inventory situation in Renault's balance sheet, and for the independent dealer network. As you can see on this slide, inventory decreased by 19% versus end of 2019. This decrease came mainly from the independent dealers and reflect the stricter inventory management put in place. And in terms of backward coverage, this leads to 61 days or 7 days lower than a year ago. I will now turn the call back to Luca for the conclusion.
Luca de Meo: Okay. I will conclude the presentation with a couple of charts. First one on the way we see 2021, and I will start with the challenges for this year that we see. The first one, obviously, is to manage a whole business with such low level of visibility on the demand. The beginning of the year has been showing some sign of weakness as the order flow is obviously impacted by the lockdowns and the curfews in many countries in Europe. At the same time, we are facing a significant increase in raw material prices, as you know and shortage for some chips that forced us to continuously change our production program and to cut it in some cases. Our visibility on chip supply is for the time being pretty limited. We're getting as much as possible in terms of information on a daily base, but at this stage, we are not able to make any solid assumption month by month. It is very hard to say, in fact, what would be the exact precise impact as the situation is changing weekly. But one thing I can say is that we expect the peak of the shortage during Q2 before seeing already a recovery from Q3. And for the full year, our best guess is, let's say, that we have to work on an envelope of risk of 100,000 vehicles, which we are trying to reduce to the minimum. And last but not least, you know the emission regulation is continuing to request a higher electrified mix and rich contents, which we're trying to compensate. And I think, in general, Renault is, as you will see, pretty well positioned in terms of electrification technology and we're trying to make it as soon as possible not dilutive for our business, as I mentioned during the Renaulution plan. So, 2021 should be yet another difficult year or challenging year, but I think we've taken the necessary measures to anticipate and to overcome our next challenges and deal with that uncertainty. In this context, we have decided not to issue a guidance for the year. It would not make a lot of sense in our opinion, given the current level of visibility. Several European countries are still in lockdown or curfew and we don't know, as everybody, for how long. Now to end on a more positive tone, I would like to mention some -- the opportunities that we see for the year. On the opportunity side, we expect, anticipate a strong recovery of the demand when the pandemic will be under control and the -- especially the restriction removed. As I said, during the Renaulution presentation, we will -- we are taking this opportunity or if you want this challenge of this, let's say, at the beginning of the year, to intensify our cost reduction plan on every level. We are shooting now for more than the initial target of €2 billion in fixed cost. We are also working very, very strongly on our variable cost and we will continue our efforts on pricing policy as you have already seen at the beginning of this year. One special mention is for the new -- the range in the product of Renault, here you see the electrified range of our brands, E-TECH is a success as much as, let's say, pure electric battery cars are, you know, a success in the market that will offer -- will have, let's say, a very positive impact in 2021 because we have the full range available and the full production capacity, and this will contribute to improve our product mix and we are very, very confident also this year, we'll be able, even probably earlier than what we did during the year in 2020. In 2021, we are confident that we will achieve the CAFE. To conclude, basically the key word for 2021 for the time being, at least the first part, is uncertainty. We will address it. The management team and the whole company are, let's say, very compact, very motivated, very focused and I think there is a strong buy-in on the Renaulution strategy and the whole philosophy of moving from volume to value and we expect the second semester, to be a good, let's say, surprise as it was into -- in 2020, I think we proved with this 3.5% that this company can make it. I also want to take the opportunity to confirm that we -- the Renaulution 2023 targets are our targets and we are confident that we will achieve them. So, thank you for the time being, and I will now take together with Clotilde and the colleagues all your questions.
Operator: [Operator Instructions] And the first question comes from Thomas Besson from Kepler Cheuvreux. Sir, please go ahead.
Thomas Besson: Thank you very much. Good morning. It's Thomas Besson of Kepler Cheuvreux. Just can I start with the possibility to pay this €1 billion of dividends you mentioned? I think you have €6.2 billion of equity now at the RCI Banque at the end of 2020, which seems a lot given the decline in activity we have seen because of COVID. Do you think you can pay the €1 billion of dividend over '21-'22 -- '21 alone or what the time frame, please for that? That is the first question.
Clotilde Delbos: Yes. Thank you, Thomas, and good morning. Yes, actually, you have the right analysis. RCI, due to the decrease in activity and its lower capital according to bank regulation and has not been able to pay the final part of the dividend on the 2019 result, and so far, nothing on 2020. So yes, we have the capacity to pay the €1 billion, and we're confident that, as soon as the European Central Bank lift its restriction on these payments, we will be able to pay it. So, our hope is that we're going to be able to pay the full amount in 2021. But obviously, it will again depend on the bank. We're going to pay €69 million in H1, which is in order to respect the regulation. This calculation, which is quite complicated for outsiders to try to calculate the 0.2 of risk average assets, etcetera, etcetera. So, but our plan is to pay it in 2021 as soon as it is possible according to the bank regulation.
Thomas Besson: Okay, very clear. Thank you. Coming back to another topic that impacted your 2020 accounts. The capitalization of R&D has often been a big boost to your account. It's been a big drag with depreciation that you flagged for 2020. Usually it's correlated with product cycle. Should we expect more neutral or even a reversal of that in 2021, as you stop capitalizing for products that will be launched in H2 '22 or '23 or further or is it going to remain a drag in 2021?
Clotilde Delbos: Well, thank you again for the question. So the capitalization ratio, excluding AVTOVAZ in 2019 [ph] was 52.8. It was 49.1 in 2020 and we expect it to go further down by 2.5 points in 2021. So, it will still be a drag roughly 0.8 points on our operating profit again in 2021 and it is in line with what we mentioned during Renaulution. Remember that was one of the reason why we warned you about this impact in Renaulution. And most of the impact is going to be in '21. The impact should ease after '20 -- for '22-'23 and then be neutral or slightly positive between '23 and '25. But it is a drag next year of, let's say, 0.8 points.
Thomas Besson: Okay, very clear. Can you discuss the absolute level of CapEx we should expect in 2021, the amount of cash out for restructuring as you are ahead of plan? And can you mention, whether you believe Renault will be able to have a net CapEx and R&D to sales ratio back below 10% in '21 as -- after the 11.3% we reached on lower revenue in 2020?
Clotilde Delbos: Yes. Well, definitely we aim at being lower than 10% in 2021, closer to 9%, if possible. And this is clearly in line with what we had announced both, especially in Renaulution, remember we provide you this information for Renaulution, and I want to underline again this is not at the expense of the lineup. Everything we're doing, even if we continue to reduce costs faster than expected, is not at the expense of the lineup that was shown a month ago. So that's the first point extremely important. I'm not going to give you an exact number of CapEx R&D for next year, but you can compute for your assumption something between 9% and 10% and something, which enable us to reach the plan -- the restructuring plan we announced if possible by the end of the year or very beginning of next year. In terms of restructuring costs, it's in line with what we said during the presentation of the plan in May. No change for that. So we're going to continue to have the restructuring cost in 2021. In cash out, especially it is -- be a bigger number than what we had in 2020, which is normal because, as you know, the social measure, especially in France, have been negotiated at the end of this year, we booked them, but the cash out is going to be next year and the following one, but mostly 2021.
Thomas Besson: Okay, clear. Thank you very much, Clotilde.
Clotilde Delbos: You're welcome, Thomas.
Operator: The next question comes from George Galliers from Goldman Sachs. Sir, please go ahead.
George Galliers: Thank you for taking my question. The first question I wanted to start with was just free cash flow. I realized you said there's a lot of uncertainty for this year. But assuming you are able to pay the €1 billion from RCI, would you expect the free cash flow to be positive in 2021? And then the second question I had was just with respect to AVTOVAZ and the assistance measures you mentioned from the Russian Government. Could you just elaborate on what those measures are, the financial impact and for how long you expect them to continue? Thank you.
Clotilde Delbos: Well, thank you for the question. On the free cash flow, yes, there is a lot of uncertainty, but the uncertainty is mostly on the first half as you see because of the COVID situation, which we clearly hope that will ease at least before summer. And for the semiconductor, which as Luca mentioned, same thing, we should recover production by the -- in the second half. As we -- if you look at what IHS has said on that topic, they expect the peak of the lack of semiconductor for March, which in production means the second quarter. So we expect a good H2, and in which we're going to bank in also all the efforts we're doing on pricing and fixed cost. Assuming RCI pay a dividend, clearly, we're targeting to be positive clearly. On VAZ, I would like to turn to Denis Le Vot, as he his head of Lada and Dacia Brands.
Denis Le Vot: Thank you. Thank you very much. Hello. Thanks for the question. 2020, actually in Russia showed a good recoup in the second half. This is -- the crisis was really in the first half. So there are two main reasons for that, first, is the market, as I'm saying, because the market in the second half was up 3% with a minus 10% almost in the first half. This is number one. And number two, the Russian authorities have had a very strong sustained measure being implemented in the second half, mostly two of them, I could mention. One of them is the fleet sales by the government were advanced in the second half of the year from the year 2021. This is number one. And number two, of course, is the sustainability program that they put in order so that the people may be provided help to buy cars, especially the small cars that did actually profit mostly to AVTOVAZ. So also the market share did increase in the second half. So in the market growing by 3%, we grew by 6% in the second half. And this will continue, of course, this year, 2021.
George Galliers: Great, thank you.
Operator: The next question comes from Stephen Reitman from Societe General. Sir, please go ahead.
Stephen Reitman: Yes, good morning. Turning to the slide on the cost reduction analysis. I was just wondering what your feeling is about the SG&A improvements you've made. It seems to be a theme that we're hearing from a lot of the auto companies that they with crashed cost savings they did in immediate response to the pandemic, they've been able to hold on to a lot of that, and that's led to some surprising beats in the fourth quarter. We'll obviously wait to get some details still. Do you feel that you have done enough, or is there more clearly achieved when you look at the split in between H1 and H2? In particular, I'm looking at the G&A line. Obviously, you can see you've made improvements in R&D and on purchasing. But what else do you think can be done?
Clotilde Delbos: Okay, Stephen. Thanks for the question. On SG&A, we've done a lot, obviously, in the first half, thanks to the government measure. We continued in H2. The comparison basis was maybe not as easy in H2 because we have started the cost reduction already in H2 2019. But to answer your question, if you look at the slides on the cost reduction plan, you see that we have done not even half of what we had promised on SG&A. So we still have twice as much to come in 2021 and -- well, mostly 2021, I think we're hoping to finish by the end of the year, very beginning of the following year. So we still have more than half to do. Same for production, as we mentioned, same thing here, production, we have done 40% of the plan. So we still have 60% to come. And remember, when we presented the plan in May, we say that -- we already said, and we said that again in the month of January with the Renaulution presentation. The first phase was really engineering focused because we had a lot of efficiency to do. And we said that it was what would come from SG&A and production was to come at later stage, 2021 and 2022, because we had to put in place also the social measures, again, the social measures, especially for SG&A, were negotiated at the end of 2020 and will hence take place in 2021. We're working on the efficiency of these functions, and this is what is planned. So there is more to come in SG&A and production. What was your other question?
Luca de Meo: Maybe I can…
Clotilde Delbos: Yes, please.
Luca de Meo: I can see the thing -- this is Luca. You can see the thing in another way is that in the plan, we had 30% every year on SG&A. We are at 50%. So we are ahead of the plan. The same thing goes for production slightly. There is an inertia effect because it's -- these are things that take a little bit more time. In my view, based on my experience also another company in the industry, normally the most complicated part is in the engineering part. And the work that Gilles and the team have done has been pretty remarkable. So I think it's a good sign that then we'll be able to do all the rest, if I may say it like this.
Clotilde Delbos: Yes. And as Luca said also in introduction and in the conclusion, we're not stopping. We're looking at -- we know the situation is complicated. We have -- we are very proud about the results we have achieved in H2, but we know of the uncertainty we mentioned. So we are continuously looking at additional measures in order to improve and continue to improve the situation. What we've done already in 2020 is -- has had good impact on the breakeven level. And we're going to continue. Remember, we committed to reduce the breakeven point by 30%. We are not yet there. We have done very good progress, but we need to continue, for sure.
Stephen Reitman: Thank you. And if I could ask just on the second question on the Megane crossover or the eVision that you showed, is it on track for launch for customer deliveries by the end of this year still?
Luca de Meo: We always say it as beginning of 2022, so we are on track, and we are working on it. It's a very, very competitive product. So yes, we are on track. But in fact, I have to tell you all the projects that we are -- that we presented a month ago are on track in terms of timing and content. So we're trying to be very, very, very disciplined with the thing. And maybe something that on the previous question, Clotilde didn't mention, Gilles was showing me a few days ago, let's say, a summary of the entry ticket for the cars, and then he compared the last five projects, with the next five projects, and you can see an average reduction of entry ticket by 40%. This explains why we are able to -- with the limited amount of money, with the same money to do all the products, all the 24 products that we plan from now to 2025. So -- and this comes from more discipline, a little bit of common sense approach to utilization of platform components from the Alliance, a better logic in all these things. So I am actually very, very impressed by the performance on engineering when it comes to the way we are structuring the projects, and the discipline they are having in hitting the cost targets and the timing.
Stephen Reitman: Thank you.
Operator: The next question comes from Angus Tweedie from Citigroup. Sir, please go ahead.
Angus Tweedie: Hi, good morning. Thanks for taking my questions. The first one for Clotilde. I know you talked about winding down your factoring program this year. Could you perhaps give us some figures so we could think through the impact of that on your working capital? And then secondly, for Luca, could you perhaps just talk a little bit more on the -- your concerns around the chips? You probably sound a little bit more negative on this than some of your peers. How confident are you that these issues are going to ease and that we can see production and volumes rebound in the second half? Thank you.
Clotilde Delbos: On the factoring, the net debt amount is more than €700 million reduction. Obviously, a portion come for lower volume. But if you look at globally, how much we reduced the factoring, it's -- is that way. In terms of points, if I want to look at it in terms of point, we reduced by 6 points, roughly, the total amount of receivables that we factor. So it's a big amount, and we made that choice also to reduce the cost because the cost was not given last year. So many reason for that. But you're right, you have to take that into account to have a better view of our working capital movement. And you can add the same thing on the payable. Remember, we said -- we reduced a lot, as you saw, our fixed cost, especially in engineering, which means we reduced a lot our recourse [ph] to subcontractors, things that you usually pay with long payment terms, and the impact of that is a reduction of €900 million. So if you take the two, you understand why working capital for good reasons, did not rebound fully. It's because we reduced our costs, so you have less payable, and we decided to reduce factoring for cost reasons. So you have the answer to the question. I turn to Luca to the other question.
Luca de Meo: Yes. You know, on the chip side, I think that -- I'm afraid I can't give you much more details because even we don't precisely know. We're waiting also for calendarization from our suppliers in the next days for Q2 and for Q3. We try, as usual, to be very, very, let's say, prudent in our statements. So it's kind of a daily fight, and that's what we're doing together with our suppliers. We have people visiting them and trying to move the parts from left and right. There will be some plant closure here and there, one day there, two days there. It's a continuous battle, it would be, I think until the end of the year. Although, we believe that supply shortage will ease in H2, but we just have to fight. But what I know is that Renault team is pretty kind of used to crisis. So normally, we're very flexible and solution oriented. So far, we managed to ease the thing without fundamental impact on the production, but we don't want to give ourselves -- we don't want to be overoptimistic because we have to be focused and try to solve the issues week after week. So sorry, it's not that I don't want to tell you the thing, but it's just that I don't know precisely.
Clotilde Delbos: And the good thing is that…
Angus Tweedie: Thank you. Sorry.
Clotilde Delbos: Sorry. The good thing is we have quite flexible contracts with our workforce. And you know that usually, in the month of August, we have quite a long period of closing, and we can play with that to recoup in H2. So -- and that's very important that we can use that production capacity to recoup what we may have lost in the few days here or there of the plant closures.
Angus Tweedie: Really helpful color. Thank you. Thank you, both.
Operator: The next question comes from Jose Asumendi from JPMorgan. Sir, please go ahead.
Jose Asumendi: Good morning. Thank you very much. Three questions, please. The first one, can you help us a little bit understand the number of workers you had at the end of 2020 versus 2019? And how many packages have you been offered -- have you offered to the workers in terms of retirement or compensation packages? That's question one. Question two, can you comment, please, on the Monozukuri and product mix expectations for 2021, please? And the third question, please, for Luca. Can you comment on three topics, please, of collaborations that we're seeing out there? So one, is there a chance to maybe accelerate the collaboration with Nissan on light commercial vehicles in Europe? Two, when I look at your product offering in Valladolid and Palencia, it looks, I think, compelling, right? You've got a 5-seater Kadjar, you've got a B segment based on Captur. Can you do all of that with the existing facilities? Or do you need to do much bigger CapEx expenditure? And three, can you comment please on Apple obviously, they're looking for someone to build the car in Europe? Is Apple part of your discussions strategically, or are they not part of your plan? Thank you.
Clotilde Delbos: On the workers, we don't give specific numbers. What we -- you need to know is we're in line with the plan. We're in line with the plan we announced in the month of May, and it's progressing well. So on the Monozukuri side, 2021 is not easy to assess. But for sure, the mix/price enrichment will be positive on the continuation of what we are doing in H2. There is no reason for that to change, as Luca mentioned, we mentioned, and you saw it in the H2 numbers quarter after quarter. There's a lot of effort made on price, on improving the mix, choosing the right channels and pricing the enrichment. So that's the first point on your question. On the cost front, obviously, again, we're going to continue to reduce our costs. As we mentioned, we are going faster than expected. So in a cash basis, you should see a reduction of our cost. But again, as mentioned, on the -- you're going to have the impact of the amortization -- or depreciation, sorry, on the depreciation and capitalization ratio, which probably will offset the R&D positive news on the cash. So I hope that answers your question. Luca, on the other questions?
Luca de Meo: Yes. So, on the Nissan side, on the commercial vehicle, Jose, you have heard that, I think, last week that Nissan confirmed the production of, let's say, the Kangoo based commercial vehicle from -- in their range in Maubeuge [ph]. So the continuation is alive. The collaboration is alive and kicking. And of course, we are looking at other opportunities. You've seen that we've had a couple of years where sales to partners have been going down, and we are now into a mood of looking for opportunity, especially with -- obviously, with Nissan, Mitsubishi and Daimler. So I am relatively optimistic that we'll find a few opportunities in the next year to grow that item on the P&L. The second question was on…
Clotilde Delbos: On Palencia.
Jose Asumendi: On Palencia and Valladolid.
Luca de Meo: On Palencia and Valladolid, we have you will -- I don't know if you've noticed in the Renaulution, there were a few cars, let's say, focusing on the C Segment and B Segment plus architecture and platforms, and they are produced there. So Palencia and Valladolid will be two plants where we see business growing. Basically, we are recently also discussing with authorities and trade unions for a new plan. It's part of the discussion. So -- but we are very confident about the performance of our Spanish plants, also for the future because they are on, as you said, on the right products, okay? And as Renault focuses on the C Segment and specialty C Segment SUV and crossover, I think, I can say to my Spanish friends that they might have a pretty -- let's say, they should be optimistic about the future. On the Apple thing, I mean, this is kind of I see that in the press. We haven't been contacted. So tango, you dance in two, you have to be two to dance that. I mean, we are obviously open. It looks like we have a very interesting partner, that's what I read from the press. But we also have to mention the fact that we are also strongly linked with Google for our man machine interface, infotainment system and with Waymo, etcetera. So we are already investing on this kind of technology. But as I said, we're open for all opportunities.
Jose Asumendi: Understood. Thank you very much, both. Thank you.
Operator: The next question comes from Horst Schneider from Bank of America. Sir, please go ahead.
Horst Schneider: Yes. Thank you, and good morning for taking my questions as well. Just the first one, some housekeeping issues. I don't know if you mentioned that already a guidance on raw material price impact, FX impact for 2021. And then maybe also guidance on tax rate for 2021. The second question that I have that relates more strategically to the EV business, again. Because Luca you always appraised basically the strength of the E-TECH technology. I recently read an article in the German Motor Magazine, it was German, I admit, but they were saying that E-TECH is not driving -- or the E-TECH Clio was not driving as much of market [ph] it should and got a poor rating. When I look at the price of the Clio E-TECH, it's something at €23,000. I just cannot imagine why people should buy this car just because if you buy a Clio or if you buy a ZOE or Twingo Electric and you include the subsidy, these cars are much cheaper than the Clio E-TECH. So I cannot see why the E-TECH gets the success. Thank you.
Clotilde Delbos: Okay. On the guidance, well, raw material, I guess, you read the press and you look at the spot price like everybody, so we don't see a positive impact on raw material, for sure, in 2021. I guess you've seen that the precious materials, which are used in the cars are spiking. And there is also a lot of tension on the steel market. That being said, it depends on -- it might not be the case in the three months or in six months. But for the moment, you can take as an assumption that raw material is going to be a burden, a bigger burden than what we had in 2020. In terms of FX, difficult also to say, but there has been a lot of movement in H2. So by nature, the -- if you compare H1 2021 versus H1 2020, it should be a negative. There is no reason why not. H2 is unknown at this stage because we are at a very high level in terms of FX. In terms of tax rate, well, I guess, you can just take the usual normative tax rate, which is around 28%, if my memory is correct in terms of a normative tax rate for your modernization. On E-TECH?
Luca de Meo: I'd say one thing on E-TECH.
Horst Schneider: Thank you.
Luca de Meo: Okay. On the Horst, on the E-TECH, yes, I am -- I think that Renault, when I came to the company, some of the good -- of course, there were some bad surprises, obviously. But some of the good surprises was the advantage that Renault has on electric cars, on electric platform, not only the ZOE, but also the future and on E-TECH. You said, you were reading a German magazine. I will send you French, Italian and Spanish and British Magazine. So you can have a kind of a more pan-European view on what the press is saying because the technology has been praised by everybody, okay? And I drive those cars every day. So I can tell you that with the plug-in hybrid, you get into -- you see one [ph]. And in terms of consumption per 100-kilometer and with the hybrid, you see three all the time. Okay. This is the reality. And when you say why the people should buy that when there is subsidies on electric cars, I have never made a business case on subsidies. This thing is something that will lower down with years. And the hybrid technology will be part of the landscape for the next 10 years easily. So when you say, why should they buy that, then you ask yourself why Toyota is selling 80% of hybrid in Europe, and they're making like €20 billion of profit of the year. So hybrid is one of the things, so Renault has a clear advantage. We have a plan to make -- we are already making more margin on this technology than classical cars. We have a plan in a matter of 18 to 24 months to make it not dilutive even on percentage by reducing the cost. E-TECH is a very smart technology because you don't have a gearbox in the middle, so you don't have the cost of that. So we are convinced that the thing is really an asset for the company. We have more than 20% on Clio in terms of mix. And we are more than 30% on a plug-in hybrid on the B+ segment with the Captur. So there must be people that have a different opinion from the one you have or from the one that the journalist is expressing. But the world is interesting because people have different opinion.
Gilles Le Borgne: Well, the best -- Gilles speaking, the best is to try it.
Horst Schneider: Yes. I was also not talking -- yes. Sorry.
Gilles Le Borgne: The best is to try it. Gilles Speaking.
Horst Schneider: I mean -- so I didn't mention the plug-in hybrid, I just meant this Clio hybrid, where you don't get the subsidy. On the subsidy issue, again, you see a lot of cannibalization between Twingo Electric and ZOE at the moment.
Gilles Le Borgne: No.
Denis Le Vot: Sorry, if I may just jump in with just a little technical things. Both cars are a good choice. This is -- I don't -- let us not compare any of them. The Clio as an HEV is an 80% electric feeling when you drive it in the city. So it feels like an electric. It has the consumption that Luca mentioned, but it has a range of an ICE [ph]. So it depends on where you live and how you drive cars. On the other hand, the ZOE is a pure electric, 400 kilometers autonomy, and by the way, it was the most sold electric car in Germany last year. So I mean, both can be successful. It's a question of usage and choice by the clients. I would not even compare that.
Luca de Meo: And the HEV is a kind of a replacement for diesel, basically, that's what it is. And electric car is for early adopters, different usage. Well, we have a good -- I think we have a good solution for both segments. That's a good news, which is not the case for everybody.
Horst Schneider: All right.
Operator: Your next question comes from Harald Hendrikse from Morgan Stanley. Sir, please go ahead.
Harald Hendrikse: Yes, good morning everybody. Thank you so much for taking my question also. Not to be difficult, but -- and I've heard you about the uncertainty, and I fully understand and I sympathize with what is probably a very difficult start to 2021. But on EBIT, can you just give us any more help at all? It's so difficult this current environment for us also to forecast what these margins, how much we can extrapolate from the performance in the second half. Pricing is obviously strong. Volumes obviously is still uncertain, then we have all of these headwinds. Can you talk a little bit more about where profit margins can get to maybe relative to the performance in the second half and maybe give us a better idea of how you're looking at the year profit wise or margin-wise, 1H versus 2H, where obviously, normally 1H is seasonally stronger. But maybe that's a little bit less the case this year. Can you just give us a little bit more guidance? I know we've had a lot of the steps, but I don't feel like we've got a great idea of where the absolute number might get to.
Clotilde Delbos: Well, you're asking me to do your job, basically. No, I'm just kidding. The -- if we had had clear view, we would have given it to you. You know how we are, we're very extremely transparent. All I can say is H1 is very low in terms of visibility, whereas H2 should be a lot stronger. If you look back at H2 2020 for just a minute, we said that we did 3.5 points of margin versus last year's 3.7. If you -- in '19, 3.7, just -- so maybe you can try to do the same exercise for this year. I'm trying to give you some hints of how to look at it. If you take 2020 at the same -- with the same condition, I would say, than 2019, you add back 1.1 points linked to depreciation and capitalization ratio. And if you correct for raw material and FX, you add -- you come back to an adjustment of 1.8. So you see the intrinsic performance of H2 versus H2 last year. These intrinsic performance will continue to improve because we're continuing to going to work on the pricing, on the cost reduction, etcetera, etcetera, even though there will be another 1.8 points impact of depreciation and capitalization ratio. But if you look at H2, which was -- still was not the best market you can find on the world and difficult FX position, and you look at H2 next year, especially in France and other places, if you took at H2 2021, we strongly believe that we should be in a position to improve the performance. The problem is H1. H1, with COVID, we never know every day you open the newspaper, you don't know, we say, don't want to close or open or do whatever they want in terms of market. And the semiconductor, again, as we said, so far, we didn't have much impact, but it's going to come. It's going to come because of the situation. And fortunately, the visibility, we will have it in a few days or week because we're in constant discussion with our suppliers. So I cannot help you more than that, telling you that the underlying performance lever are extremely strong, continuing on price increasing, and next year, we're going to have more results from our strategy on the variable costs, which we didn't really have in 2020. But unfortunately, I cannot give you a full year because of that.
Harald Hendrikse: Okay, that was helpful. Thank you, Clotilde.
Operator: The next question comes from Charles Coldicott from Redburn. Sir, please go ahead.
Charles Coldicott: Good morning, and thanks for taking my question. I had just one actually on the Renaulution strategy and your plan to significantly increase your market share in the C segment. Could you just comment on why you think your share in that segment was so low over the last five years? Did you simply not have enough or the right models or were the Koleos, the Kadjar, the Megane a disappointment for some reason?
Luca de Meo: I think you gave yourself the -- let's say, the answer. It's -- that's the issue. I think we put a lot of money on traditional body styles or on body styles that have no market anymore. Think about the Scenic, which is a great car in fact, but there is no market anymore. Whilst the others invested in C Segment crossovers, or SUV and it worked much better, and that's something I can't correct in a minute. But starting from next year, we will be changing this kind of trend with the Megane, the electric with the replacement of the Kadjar which will also come next year and going through '23, '24, '25 a lot of the cars that from Renault in the new plan are on that level of the market. I think it's, let's say, sometimes there is a little bit of a confusion that some people think that in the Renaulution plan, we're talking about big cars, etcetera. We're talking about C segment car. This is the core of the European market. We missed an opportunity in the last cycle, but this was -- let's say, this was something where we already had a strong position. I mean, I was looking at one statistics. And basically, you would see that the difference of performance between us, for example, PSA, in the last five years, half of it is explained by the fact that we were not performant in the C segment. And if you look at the market share of the C segment, we actually lost six points of market share in that segment, much more than all the others. So it's just a matter of going back to the thing. We have at least seven products, if I remember correctly on that level of the market, and I think that it is -- they are all good, and they all in the right, you know, with the right contents, with the right engines, with the right sizes, with right styling, etcetera. So I think we can make it back to the position we had before, maybe 10 years ago or 15 years ago.
Charles Coldicott: Thanks.
Operator: The next question comes from Philippe Houchois from Jefferies. Sir, please go ahead.
Philippe Houchois: Thank you, and good morning. I've got a few quick ones, I hope. One is on the dividend from RCI, the technicality of what does it take to remove that blockage on the dividend? It's been talked about for a while. I thought it was progressing. Is there a particular technical obstacle to that? My second question is if I look at your big reduction in inventory in 2020, given the shortage on semiconductor, we should expect -- should we expect that inventory could be down again by the end of 2021 below the 486,000 that you reported for in 2020? And then the last question is kind of more -- maybe for Luca is -- so you made a deal with Google recently, and Ford did the same. In the past, it was very difficult for the industry to actually get to an agreement with Google and part of the issue seems to have been data privacy. And did you feel like that Google was a bit more flexible on that point that you were willing to make concessions on data to be able to progress in their penetration of the auto industry? Thank you.
Clotilde Delbos: Okay. On the RCI, unfortunately or fortunately, for other reasons, but RCI is regulated and supervised by the European Central Bank, just like the other bank. In view of the COVID situation last year, the Central Bank decided to impose the bank not to -- in Europe, not to pay any dividend in order to make sure that if the COVID situation was to be followed by a financial crisis, the bank would not be dragged into it. And that's why in the course of 2020, they first said that no dividend was to be paid in the first half and then they extended it. And at the end of the day, no European Central bank was able to pay €0.01 of dividend in 2020. Now, what they said -- announced at the beginning at the end of 2020 or very beginning of 2021, they said that for the moment, they agreed to have banks to pay dividend, but a very restricted amount using some ratios up until the end of September. So the ratio, which applies to RCI, there are two ratio, but the one which is the stricter in terms of RCI is that you're not allowed to pay more than 0.2% of risk-weighted assets, which is equivalent for RCI of €69 million. Now if the European Central Bank lift this restriction for the last quarter of the year, then we're going to be able to pay normal dividend and the normal dividend in view of what we could not pay last year, the end of the 2019 dividend and the dividend on the 2020, which were 2019 was an extremely good year for RCI 2020. Despite the COVID, we nevertheless had a margin of €1 billion -- more than €1 billion in operating margin, less obviously net result, but in operating margin. Then we are confident that we can pay €1 billion. So it's just the question of the attitude of the European Central Bank, which wants to protect the bank and the deposit of the customer, which are in the bank, which is good for everybody. But it's starting to ease the regulation because they understand also that by protecting or maybe over-protecting the banks it is distorting versus what is -- other banks are able to do in other jurisdiction, namely in UK and in Switzerland and in the US. So we're confident that with the situation easing on the COVID front, they're going to lift this restriction, and we're going to be able to pay the €1 billion we talked about. Unfortunately, we don't have free hands.
Luca de Meo: I will make a comment.
Philippe Houchois: Because your balance sheet clearly affords it, it's just a question of -- so it's political. But from your answer, it seems like there could still be restrictions in the amount. So although technically, you definitely could pay €1 billion or more, it's not clear that you'll be able to pay €1 billion that quickly. Is that correct?
Clotilde Delbos: That's exactly it. We have the ability to pay. We just need the authorization to do so.
Luca de Meo: Like any other bank.
Philippe Houchois: Okay. Thank you so much.
Clotilde Delbos: Like any European bank.
Luca de Meo: I'll make -- this is Luca. I'll make a comment on inventory and the Google thing. And then maybe I'll ask Gilles to -- if there is something I forgot to complement. So we have clearly identified the potential to reduce structurally inventory, okay, in the house. So we made a first step this year by -- even in a very uncertain stop and go situation, let's say, this year by reducing more than 100,000 units in the system, okay? So I think it's a massive, let's say, effort, 20%. When you look at the chart, I don't know if it must be 19% or 20%, something like this, you will see that the -- this bigger reduction comes in the stock from our dealers, okay? So that means it's a good sign of the fact that we're not pushing metal into the system to protect pricing, okay? In fact, the part -- the OEM part of the stock was reduced, but not as much. Why? Because structurally, the system is not prepared to work or was not prepared until now to work on -- with lower working capital levels and lower stocks. So we are doing a lot of work to attack the issue. We have a program that we call fast track, in which we're planning to put the system in the condition to deliver a build-to-order car in a month, okay, as probably we are in the two, three months right now. So this will have an effect. So we are connecting the old logistic, the old system, and we are really focused on. So I can promise you that the stock will further go down this year because we will also work on the OEM part, and we'll keep the discipline with the dealer network to avoid push in the market. On the Google side, you mentioned Ford. In fact, what we're doing with Google is pretty similar to what Ford announced. The only thing that we did before, probably we're not good at selling that. So we will be in Europe, the first manufacturer to integrate Google embedded functionality and service in our car with the Megane. I drove a prototype of the cars. I was also questioning about what is the advantage of doing that for the reason that you were suggesting before. But I have to tell you that when you get into a car and you start using this man machine interface, from a customer point of view, this thing is really huge, because as fast it's integrated, you have a lot of functionality, you can download apps from the Play Store, etcetera, etcetera. The maps are very, very good. So I think that the customer will like that. Now when it comes to the data, you have to understand that, obviously, we have to negotiate, and we have a contract with Google on sharing on some of the data. And normally, a car, but I speak [indiscernible] can at least produce 700 different datas, okay, maybe more, okay, maybe more or I'd say basic category of data. The deal with Google is very much focused, obviously, on consumer because that's the core of their business. So we are -- with them, I think the perimeter is in the 60, 70 data that we share with them. So about 70 versus hundreds or, as Gilles say, is 1,000. So it's not covering the whole perimeter, right? And now we're trying to get organized on how to monetize datas that the product, let's say, is able to produce. This is a work that is done within the perimeter of mobilize. So we're getting organized. I think we have a clear advantage for the consumer in terms of usage and functionality. And we probably haven't sold that as well as our colleagues on the other side of the Atlantic. But we have started already and we will be in the market first with that. I hope it answers your question.
Philippe Houchois: Okay. Thank you.
Luca de Meo: Gilles, do you want to say something?
Gilles Le Borgne: Well, nothing to add. But in order to operate the Google automotive services, you need also data, so that's for sure, because in order to do Google Maps or to have EV planners, you need to share some data with them. So I think it's not a problem at all. And we have extensive relationship with Google. Our next infotainment system will be a full Android-based and we are mastering the software stack. And as Luca said, we will also implement Google automotive services. So it's obvious that we need to share some data with Google, but that's for the services.
Philippe Houchois: Okay, thank you.
Luca de Meo: And in the full respect of GDPR regulation, which we really are very, very careful about, obviously.
Operator: The next question comes from Pierre Yves Quemener from Stifel. Sir, please go ahead.
Pierre Yves Quemener: Yes, good morning. Good morning, everyone. Actually, I've got two follow-ups on what has been said previously. Once again, thank you on the technicalities regarding RCI dividend payment. Just wanted to make sure that I understand correctly, the €1 billion. Is it a cumulated amount for 2019 and 2020 that you might eventually be able to pay starting September '21? That would be the first question.
Clotilde Delbos: Yes, indeed, it's a reminder of what we want to pay from '19 and '20. Obviously, technically, it's going to be an exceptional dividend because we will not be able to validate or vote it at the general assembly because of the timing of the general assembly, which needs to take place before June. But it is related indeed completely to what we could have paid additional in 2019 and 2020. Yes.
Pierre Yves Quemener: Very clear. And another cash flow issue probably. My understanding on your comments, once again, Clotilde, is that there has been a headwind on the working cap rewind in H2 of €1.6 billion, splitting to lower factoring on one hand, and on the other hand, is lower contracting. And how much of that could be -- could come back in 2021 and be a tailwind? Or is it going to be neutral in 2021? Thank you.
Luca de Meo: Well, it will depend on our two things. The -- first, our decision, internal decision to do some factoring or not, obviously. That's the first point. And the second is the volume inside. So it could -- it should -- it could partially come back, indeed, maybe not to the total amount because we do not intend to re-increase our fixed cost, clearly. So let's say, partly, not totally.
Pierre Yves Quemener: Okay, very clear. Thank you.
Operator: The next question comes from Tom Narayan from RBC. Sir, please go ahead.
Tom Narayan: Hi. It's Tom Narayan, RBC. Thanks for taking the question. Clotilde, in the past, you mentioned the high take rate of the ZOE, especially in rural areas and how it surprised you? I think this was 2019 now, that there were folks with -- who are far away from gas stations and the like. And just curious now, it's been a while now, and we're seeing a nice take rate from plug-in hybrids now you commented earlier in the prepared remarks. How is this dynamic playing out? Is this a different customer set that's taken the plug-in hybrids? And then maybe for Luca, there's been an increasing rhetoric lately for a more accelerated shift to electrification maybe in Europe. And it begs the question about battery cell capacity. This has been a hot topic in a lot of these earnings calls season so far. I wanted to better understand your contracts that you have on battery cell capacity and how it relates with Nissan as well, presumably, you do some of that together. Do you have the capacity to reach certain targets over a set number of years? Just want to understand those contracts better. Thanks.
Luca de Meo: Regarding the dynamics of electric against E-TECH, if you wish, I will make the same answer. There's nothing against here. The dynamic of both is very good, actually. Some figures. In 2019, about 3% of our sales were kind of, so to say, electrified full EV or HEV, PHEV in 2019. In 2020, it went up to 10%, so we tripled inside of our sales and both developed. The full EV was about 115,000 sales in 2020, 100,000 of them even more was the pure ZOE. And at the same time, we already have like 30% E-TECHs being sold, but only half year and only in two cars, right, so which is going to explode this year because we're going to continue to extend the offer, especially on the HEV with Captur joining the family, Megane joining the family of the HEV and also Arkana coming as a new C segment offer in Europe. So just by the offer, the dynamic will be very, very big. And again, when I say we don't oppose them, is that it just depends on the way you drive and the way you consume car. If you really are on crossing the whole friends with your car to go on holiday twice a year, you would certainly go on an HEV or PHEV. But now with the 400-kilometer under ZOE, you can see that still, we have a great offer for a lot of commuting people and even more than commuting all around Europe, and this is the most sold electric car in Europe. So both dynamics are developing in parallel quite well so far.
Clotilde Delbos: And I think in terms of geographical reach, everywhere.
Luca de Meo: We sell everywhere. The two biggest markets for pure ZOEs were France and Germany, I repeat, Germany was a real hit, but we sell them all around Europe, of course, and goes the same for HEV and PHEV. But again, we have just six months starting. So we'll see, of course, in the coming year, the way it develops, but I repeat, very good dynamic for both.
Denis Le Vot: Maybe, you made a comment on -- yes, on this kind of change of, let's say, message on electric car. One thing it's important to understand is that they are right now discussing -- this is a thing of weeks, okay, on the €o 7 regulation evolution, okay? We actually don't know exactly what will be the last -- the final decision, it would probably come by mid this year, Gilles? But when you look at the philosophy of the thing, of course, we can negotiate more or less a few things. But basically, the €o 7 means the dead of traditional combustion engine, okay, without electrification. So without electrification, you simply can't make it, okay? One of the things that's important for you to understand in that shift, because of E-TECH and because of our experience and platform technology on electric car, Renault is extremely well positioned. Okay. So I keep repeating that because it's maybe not easy to understand. But in that shift to electrification, Renault is extremely well positioned. From a technical point of view, from a cost point of view, from an experience, etcetera, etcetera. But the reason why now everybody is jumping on the electric thing is because €o 7 might kick in 2026. And it's basically forcing everybody to have a huge mix of electric car, okay, or electrified, okay, especially plug-in hybrid and battery electric vehicle. So that's the reason. Yes. Regarding capacity, I think we -- in the short-term, we are covered, so we have our ZOE, we have our Twingo, we have our Megane project for the north of France, so we have a long relationship with LG. In fact, together with GM, we were the one bringing LG into the auto business. And we are exploring, let's say, scenarios of accessing to capacity, including the idea of building battery plants into some kind of joint venture. We haven't closed, let's say, the things, but we have options. And I think in a matter of two, three months, we'll get back to you with some news. But for sure, we are confident that we would create the condition to ensure capacity for our ambition of becoming basically, at least in terms of mix, the greenest brands in Europe by 2025, as we announced during the Renaulution plan.
Tom Narayan: Okay, thank you.
Thierry Huon: So it's already 9:30. So it's time to stop the call now. So, I thank you for being on the call. And as usual, the team is available if you have further questions. Have a good day. Bye.
Luca de Meo: Thank you.
Operator: Ladies and gentlemen -- ladies and gentlemen, this concludes the conference call. Thank you all for your participation. You may now disconnect.